Operator: Greetings, and welcome to Celsius Holdings Second Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Cameron Donahue with Hayden IR. Thank you. You may begin.
Cameron Donahue: Thank you. Good afternoon, everyone. We appreciate you joining us today for Celsius Holdings Second Quarter 2018 Earnings Conference Call. Joining me on the call today are John Fieldly, President and Chief Executive Officer; and Edwin Negron Carballo, Chief Financial Officer. Following prepared comments, we will open the call to your questions and instructions will be given at that time. We have filed our quarterly report with the SEC and issued a press release today. All materials are available on the company's website at celsiusholdingsinc.com under the Investor Relations section. As a reminder, before I turn the call over to John, the audio replay will be available later today. Please also be aware that this call may contain forward-looking statements, which are based on forecast, expectations, and other information available to management as of today, August 9, 2018. These statements involve numerous risks and uncertainties, including many that are beyond the company's control. Except to the extent as required by applicable law, Celsius Holdings undertakes no obligations and disclaims any duty to update any of these forward-looking statements. We encourage you to review in full our Safe Harbor disclosures contained in today's press release and our quarterly filings with the SEC for additional information. With that, I'd like to turn the call over to President and Chief Executive Officer, John Fieldly, for his prepared comments. John?
John Fieldly: Thank you, Cameron. Good afternoon everyone and thank you for joining us today. Before I get started, I would like to welcome Edwin Negron Carballo, our newly appointed Chief Financial Officer, who joined up last week. He brings more than 30 years of financial and operational experience to our organization. Edwin is well versed in U.S. GAAP, international financial reporting standards, having worked as a CPA for many years with significant experience in mergers and acquisitions. We are pleased to have you join our team and look forward to you applying your experience to our operations. Edwin, welcome. Now, turning to our second quarter. We further advanced our distribution and expansion strategy across all of our regions, in number of large retailers, convenience stores, and new channels of distribution were brought online, both domestically and internationally, further increasing our availability and visibility for our portfolio of premium fitness beverages. With innovative products and compelling packaging, we have reached more and more consumers each and every day. Our target sales strategies are bringing Celsius to new channels, increasing product availability and our targeted marketing strategies are introducing new customers who are embracing and enjoying our great tasting, proven fitness drinks. Our strategy of positioning Celsius as a global beverage leader for health minded consumers remains our top priority. Domestically, Celsius continues to gain great acceptance. Revenue increased nearly 30% to a record $8.5 million in the second quarter where we continue to see strong growth in existing accounts, despite a temporary production delay, which caused a significant shift of nearly $1.3 million in sales from the second quarter of 2018 to the third quarter of 2019. We managed through these timing delays and production and delivery of our product has stabilized. In addition, domestically, we were focused on ensuring we can support our explosive growth in the U.S. market as we continue to optimize our supply chain with multiple co-factors. We are extremely encouraged by the number of new high quality customers we added to our domestic lineup, including Target, CVS, Food Lion, Hannafords, Menards, Wawa, Circle K, as well as many others. We also had notable expansion in adding over 300 new Planet Fitness locations, further penetrating the fitness channel and we expanded our Celsius HEAT to over 25% of all 7-11s nationwide, where our core line is in approximately 50% of national distribution today. We also rolled out a healthy vending micro-market initiative with a focused dedicated team where we are seeing great opportunity targeting at work location and healthy vending opportunities in this growing channel. We've entered this new channel with great success and are seeing extremely high velocity rates at these at work locations. We are very excited about the future of this channel, which further aligns with our strategy of continuing to target health-minded consumers where they live, work, and play. And our military channel; all three of our product varieties are now sold in more than 800 exchanges worldwide, including the Army, Navy, Marine Corps, and Coast Guard. Total growth through this channel is now up to 50,000 units per week at the end of the second quarter where just over a year ago, units were running an average about 10,000 units per week in the same period. Our expansion and target further establishes a nationwide platform for widespread availability. Initially, we launched and gained authorization for three SKUs, Sparkling Orange, Peach Mango, and Sparkling Watermelon in more than 1,000 locations of the 1,900 Target stores on the ambient energy shelf in the second quarter where the restarts started to take place. As the resets took place, we have received reorders. We have received positive feedback and strong consumer demand, and we now expect to add additional flavors in the back half of 2018. Our relationship with Target is a clear sign of the change in consumer demand at shopping patterns, in the grocery and mass channel energy set continue to shift. Retail buyers are seeking brands that drive traffic and increase sales. Many buyers are carving out new, healthy meets functional energy sets. We are capitalizing on this evolving trend. To that end, our IRI data as of July 15 validates the demand for our products and with retailers that are adding Celsius to the product lines, the convenience store market had over a 42% growth over the trailing 12 months. We were outpacing the category by 12.5x with only a 10% ACV. These results demonstrate our products are in demand and we are being accepted by today's health minded consumer. In addition, the momentum demonstrates our product had mass appeal. In the Nordic region, the month of May was the best sales month our partners had since first entering the region. The quarter, however, was impacted by orders of Celsius due to timing of flavor launches and a reduction of inventory levels as they transition to a refreshed new look and feel. We are on-track for a solid third quarter as production delivery has returned to more normalized levels. We are encouraged by the near term prospect of adding several new retailers to expand our distribution in Finland and Norway in the back half of 2018, which will further our penetration in those markets. In China, we had a highly successful selling season by our primary distributor. Due to timing of retailer resets, the channel fill will flow mostly to the third quarter and the second quarter distribution was still primarily from inventory sold to our partner in March of the first quarter. Supporting this growth, we have received reorders and have already fulfilled orders for the first quarter to our distribution partners. In China, we have nearly doubled the number of stores since last quarter to more than 25,000 locations and we added over 11,000 key accounts. We are now in 45 cities supported by 147 sub-distributors, including key accounts such as Circle K, Lawsons, Carflow [ph], RT Mart, Vanguard, Metro, Century Mark, and Alibaba's new Hema supermarkets in Beijing. We are also selling well on jd.com and Tmall. Our marketing activities during the quarter in China included sampling, digital, and events targeting consumers living and active healthy lifestyle, driving trial and interaction. Some of the events included X-Mudder, an event series in China similar to Tough Mudder, our U.S. partner. In China, we have a distinct advantage. We are producing in country, sourcing all materials locally, and we are supported by local investors and partners. With operations localized, we're able to reduce the impact of tariffs, have a competitive price innovative product, able to gain mass appeal with local partners are able to leverage their experience and networks to increase our speed to market, capitalizing on today's health minded consumer with our trend forward fitness beverage. We are driving tremendous progress across all of our regions of our business, reaching a broader audience with more products through an increased number of distribution channels. We're very optimistic about our future and the direction we are headed. In addition to the incremental momentum and expansion, we are also very active, engaging consumers in driving awareness and trial. Our Tough Mudder sponsorship is in full spring in the U.S. During the second quarter, we toured Miami, Texas, Philly, Michigan, Kentucky, Virginia, and Boston. And on average, we sampled over 25,000 to 30,000 people each and every weekend while touring these cities and also through our guerilla sampling events, which continue to cross the U.S. In addition to consumer sampling, the team also sampled heavily in the trade, attending several events and trade shows targeting vending, colleges and universities, health and fitness, and retail partners. Our digital team continues to leverage our assets and our increasing engagement on all social platforms. In addition, we launched our Celsius LIFERS Brand Ambassador program with great success, receiving great interest and support for the program. We currently have a team of over 300 passionate ambassadors throughout the nations signed up for the program and many are being on-boarded -- more are being on-boarded as we speak. This is going to increase our reach, engagement, and influence. Additionally, in the second quarter, our newest flavor to our core line, a great tasting kiwi guava, was well received, and made it to the shelves of many retail outlets in the second quarter, including 7-11 and many fitness locations. In addition, the new flavor gained interest from many of our customers for its crisp taste, great flavor, and it's perfect and refreshing for the hot summer days. Also in the quarter, we finalized and introduced in July two new flavors for our convenient on the go powdered sticks. The two new flavors, combined with our clinically proven functional formula, adds coconut and cranberry lemon flavor to our existing power lineup of orange, and berries. These new flavors are available online as well as fitness locations and other fine retailers and adds additional points of availability. Our delicious on the go stick, loved by Celsius fans, allows consumers to enjoy Celsius anywhere. We are a lean organization capitalizing on today's health and wellness trend, with our innovative portfolio of products with mass appeal. Our brand is resonating with today's consumer and has gained considerable momentum. Our future has never looked brighter. I will now turn the call over to Edwin Negron Carballo, our Chief Financial Officer, for his prepared remarks. Edwin?
Edwin Negron-Carballo: Thank you, John. Total revenue for the second quarter of 2018 was $9.3 million compared to $10.2 million in the second quarter of 2017. The 9% shortfall was mainly attributable to the timing of sales, as John discussed earlier. Looking now at the results by geography. North America sales were up a robust 29% year-over-year due to growth in existing accounts and new distribution expansion. In Europe, the normalizing of inventories translated to a 78% slowdown in sales, as our customer reduced orders in the second quarter of 2018. And in Asia, sales decreased due to the timing of orders and the application of promotional discounts provided interest in the quarter. Although gross profit for the second quarter of 2018 reflected a decline of $585,000 or 13% to $4 million, our margins remain very healthy at 42.8% of revenue. This compares to $4.6 million of gross profit in Q2 2017, which also delivered healthy profitability of 44.6%. The decline in gross profit dollars was the result of lower volume, while profitability was affected by the slotting fees and other similar charges in the international markets. Selling and marketing expenses for the quarter ending June 30, 2018 were $4.1 million compared to $2.4 million for Q2 in 2017, an increase of 72%. The increase is primarily due to investments in marketing programs to continue to build our brand, and employee investments in order to have a solid infrastructure for growth. General and administrative expenses for the second quarter of 2018 were $3.1 million compared to $1.6 million for the second quarter of 2017, an increase of 93%. The increase was primarily due to a non-recurring charge of $945,000 related to the settlement of a territorial dispute with a former distributor and an increase of approximately $600,000 for recognition of option expense, as well as a slight increase in research and development costs of $67,000, which were partially offset by savings in other areas of approximately $120,000. Net loss to common shareholders for the second quarter of 2018 was $3 million or $0.07 per basic and diluted share compared to a net income of $380,000 or $0.01 per basic and diluted share for the corresponding period last year. Net loss and net income attributable to common stockholders includes preferred stock dividends. For the second quarter of 2018, the net loss included preferred dividends of approximately $43,000 and for the second quarter of 2017, the net loss included preferred dividends of approximately $91,000. The savings in preferred dividends is associated with a conversion of our preferred D shares to common stock during the period. Operating expenses for the second quarter reflected noncash charges, including depreciation, amortization and stock-based compensation, for a total of approximately $1.2 million compared to $585,000 for Q2 2017. Adjusted EBITDA for the second quarter of 2018 was a negative $2.1 million compared to a positive $1.1 million in the second quarter of 2017. Now, by excluding other one-time charges and the net investment in Asia, we obtained non-GAAP adjusted EBITDA results, which are very close to breakeven and a negative $261,000 in the second quarter of 2018, which is comparable to a positive $1.1 million for the corresponding period in 2017. We believe that the information reflects the adjusted EBITDA and non-GAAP financial aspects enhances the overall understanding of our performance. To that effect, a reconciliation of our GAAP results to non-GAAP figures has been included in our earnings release. Now, turning to our year to date results. For the first six months of 2018, revenues increased a robust 32% to $21.4 million as a result of excellent growth in North American sales of 45%. Similarly, Asia reflected a strong increase of approximately $1.3 million, which were partially offset by a decline of 30% in European sales of $1.4 million. The decline in European sales mainly pertains to the timing of reorders on our core Celsius line, which was partially offset by the launch of our BCAA Celsius line in Northern Europe. The increase in total revenue was primarily due to an increase in sales volume as opposed to increases in product pricing. Gross profit for the first six months of 2018 increased by a solid 26% to $8.7 million, delivering a strong gross profit margin of 41% compared to $6.9 million a year ago, which also delivered a healthy 42.8% gross profit margin. The increase in gross profit dollars is primarily attributable to increases in revenue, while gross margin profitability was affected by incremental promotional allowances and slotting charges. Operating expenses for the first six months of 2018 increased 77% to $14.9 million, up from $8.3 million in the prior year. This increase was driven by investment in sales and marketing initiatives of $5.2 million and a $1.4 million increase in general and administrative expenses. Regarding other expenses, there was a decline of 7.5% to $80,000 in the first six months of 2018 compared to $87,000 in the first six months of 2017 as a result of lower interest expense. The company's net loss attributed to common stockholders for the first six months of 2018 was $6.4 million or $0.13 per basic and diluted share compared to a net loss of $1.6 million or $0.04 per basic and diluted share for the comparable period in 2017. Operating expenses for the first six months of 2018 included noncash charges for depreciation, amortization, and stock-based compensation totaling approximately $1.9 million compared to $1.6 million last year. Adjusted EBITDA for the first six months of 2018 was a loss of $4.2 million compared to a positive adjusted EBITDA of $47,000 in the year ago period. By adjusting or other nonrecurring charges and investments in Asia we once again obtained very good results close to break even, reflecting a non-GAAP adjusted EBITDA for the first six months of 2018 of a negative $120,000 compared to a positive adjusted EBITDA of $805,000 for the comparable period last year. Now, turning to our companies. As of June 30, 2018, the company has cash of approximately $8.5 million and working capital of approximately $16.3 million. This compares with $14.2 million in cash and $20.6 million of working capital as of December 31, 2017. We believe our current cash balance is sufficient to meet our anticipated cash needs through the next 12 months. Cash used in operations for the first six months of 2018 totaled $5.8 million compared to $2.7 million in the first six months of 2017. The increase in use of cash in 2018 is mainly related to the net loss from operations, as the net use of cash related to operational assets and liabilities was actually $1.2 million lower in 2018 than in 2017. That concludes our prepared remarks. Operator, you may open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Jeff Van Sinderen with B. Riley FBR.
Jeffrey Van Sinderen: So maybe you can give us a little better understanding. In domestic, it seems that demand temporarily outstripped supply and you had about, I think, $1 million or $1.3 million I think you said in orders that shifted into Q3. Was that - how much of that I guess was because you were filling the channel for Target and CVS? And then also, can you tell us more about the sell-throughs at CVS. I think you said there was a reset there in terms of where they had the products in the stores. Also, is CVS rolling to more stores? Are they adding more flavors? So just trying to get a sense of that and then maybe just where you stand now in terms of inventory and production capacity. Do you think the stock outs are behind you now? We can start with those.
John Fieldly: In regards to the delayed shipment of about $1.3 million, we had some temporary really production delays in regards to working with one of our largest co-packers that set us back several weeks. Unfortunately, we did have - we weren’t fully out of stock on all of our SKUs but we did have about 2.5 weeks of out of stocks on timing of shipments to certain customers throughout our channels. The accumulation of those that crossed over from the last week in the quarter to the first week of the third quarter, the total was $1.3 million, which has now shipped in the third quarter. In regards to the procurement of the product and the production, as you recall, over the last several quarters and years, we've continued to work on solidifying really our production. We are now running product at multiple co-packers. We feel that our inventory has stabilized. We have plans in place to continue to execute and we have our co-packers back online. We actually added another co-packer online in the third quarter. So we feel we have a sufficient amount of supply. We're continuing to build more inventory as we continue to move forward. But at this time point in time, we are shipping orders and we have sufficient inventory for growth. When you look at your question in regards to CVS, as you recall, we went into -- in the first quarter, early second quarter, we entered 550 open-air front checkout coolers at CVS. We have received reorders, strong reorders from CVS, and we are extremely optimistic as we continue to partner with them. As we mentioned before last call that there would be a review taking place somewhere around September for the resets coming. So based on the momentum and volume of reorders we're receiving from the CVS locations, we're very excited about the opportunity. In Target, we were authorized with three SKUs, as I stated, in 1,000 stores. So through the quarter, the second quarter, we were going through that process with reorders. The great news that we were very excited, as well as Targets, when the product hit the shelf, in regards to the reorders we are receiving. So we're very excited about the momentum there and we stated earlier in the call that we are very optimistic on gaining additional SKUs of additional placement in the back half of this year due to the initial success of the product. So we're really excited about that partnership at Target and we look forward to a very prosperous future as we move forward with that.
Jeffrey Van Sinderen: Okay, well, those sounds like great launches. And then maybe if we can shift a little bit to the Nordic region, if you can help us understand better what was behind the decline in the Nordic region. I know you mentioned a couple of elements there with new flavor launches and so forth. But I think you also said that in May you had a really strong month. So was trying to parse those out. Maybe just touch on the sell-throughs, how sell-throughs have been in that region and it sounds like maybe there's a disconnect between the sell-throughs and the orders you’ve received in Q2. And then maybe just give us a sense of what you're expecting in Q3 from that region.
John Fieldly: Out of the Nordics, when we look at the Nordics, we're talking about Sweden, we're talking about Finland, and Norway as the opportunity there with our strategic distribution partner. When you look at the prior quarter, in 2017 to 2018, there was a variety of new SKU launches, which took place in that quarter recycling those. In addition, we mentioned our distribution partner is bringing investments down to more of a more manageable volume. So as a result of that, and they're going through this transition of a new packaging refresh, of a new look and feel. We are very confident that these orders will be more normalized as we move forward. We already have orders in place that are under production as we speak for the third quarter. So it was really a timing in regards to replenishment orders with our customer in the Nordics. In regards to May, I stated May was a great sales month. Speaking with our distribution partner over there, their sell-through in the month of May was very strong. They had a variety of programs where they had pallet drops in a variety of the co-op location and they were very motivated for the May momentum. So we expect this to be a timing as we move forward and get back to more normalized levels. The other positive news that's coming out of the Nordics in regards to Finland and Norway is we're getting information that we're further expansion into the co-op locations in those outlets. There's a great opportunity as resets take place in the back half of 2018, early 2019. We'll be able to gain additional national distribution with the other key accounts in the market.
Jeffrey Van Sinderen: And then just one more for me. I China, I think you said you're now in about 25,000 doors, which is great. You’ve increased the door count a lot there. Can you give us a sense of how the sell-throughs are trending there? Maybe what you expect in terms of the trajectory of your business there in the near term?
John Fieldly: Absolutely. In regard to China, and you look at the quarter, the second quarter, we had a considerable amount of product that shipped in March. So in addition to that, our team anticipated the resets taking place earlier in the second quarter than they did post-Chinese New Year. A lot of the retail resets were taking place on key accounts further back towards the back end of the quarter. And as a result of that, we lost several, really several weeks of sell-through opportunity. But at the end of the quarter, as you mentioned and stated on the call, we were in over 25,000 locations and 11,000 key accounts, which is really key to our success there. We are in some monumental accounts. The sell through has been extremely positive in these accounts when we're seeing the initial take rates, which we've been in there about four to really several weeks now. So we are getting reorders. We have a reorder in July that we produced and have sold to our master distributor, and we're gearing up for another order to come in for August any day now. So the product is turning and we're gaining more feedback, more ground data to understand further how Celsius is performing. But we are getting great placement in the stores and we're seeing some great execution by our distribution partners.
Operator: Our next question comes from Jeff Cohen with Ladenburg Thalmann.
Unidentified Analyst: So I just had a couple questions. I think I'd like to start with any trends within the fitness energy drink segment, including flavors? I know that you had introduced a coconut one because coconut water had become so popular. Are you seeing any other trends similar to that one?
John Fieldly: We had a variety of great momentum in the second quarter with our flavors and one of the big interests in our flavor, which was one of our new flavors, was the kiwi guava. We got excellent feedback, excellent distribution from our distribution partners. It was really embraced by the fitness channel as well and we got a substantial off take in regards to that product turning and we expect that kiwi guava flavor to gain additional authorizations in our key accounts as we continue to move forward for the next planogram reset. When you look at, as you mentioned, our coconut, which is our powder product, we just launched it in July, as well as our cranberry lemon, which is a great flavor. It really is an excellent product. Everyone loves it and that is just now rolling in through really the fitness channel.
Unidentified Analyst: And then also, I think you mentioned that you had expanded into about 300 Planet Fitness locations. Did that include the HEAT line and your original line or are you aiming more towards one or the other?
John Fieldly: When you look at our HEAT line, our HEAT line initially launched in the fitness channel and we look at the distribution of the heat line currently. It is mainly in the fitness channel and we do have SKUs authorized nationally at 7-11 where we have about 25% ACV distribution throughout the nation today. Our teams are focused on expanding that because we do have national authorization with those two SKUs. But specifically speaking to Planet Fitness, you're going to see a combination of our original line as well as our Celsius HEAT line in those Planet Fitness locations, as well as through all the fitness channels. You'll see a combination of our core line as well as the Celsius heat, and both lines are performing extremely well in that fitness channel.
Unidentified Analyst: I also was wondering if you could talk a tiny bit about the vending micro-market initiative. Could you add a little more color on that?
John Fieldly: Absolutely. The vending micro-market opportunity is extremely exciting for us. When we look at how Celsius goes to market, we're targeting consumers where they live, work, and play. And this is full encompassing. So the micro-market, we have a dedicated team focused on the opportunity and really, addition to micro-markets, it's healthy vending as well as colleges and universities as well. And the micro-markets, which we started to roll into that channel in the second quarter, which is really at work locations, we're seeing an extremely high off-tick in regards to the number of sales running through on a weekly basis out of these micro-markets. It is a great opportunity for us. So you're going to see us at your at-work location. You'll see us at your health club. You'll see us in your vitamin specialty store. You'll see us in your drug channel. You'll see us in your mass channel and you'll also be able to purchase this online. So we're available for consumers. We're going to continue to expand that distribution. That is a major focus, which aligns nicely with our marketing strategies, as well that continue to target consumers where they live, work, and play.
Unidentified Analyst: I wanted to ask one more related to your online presence. I remember last quarter, you had started the Ambassador program, and I guess you said you had about 300 with more onboarding by the minute. I'm curious, can you track clicks from your Ambassador's posts to your website? And if so, are you seeing any additional volumes from those clicks?
John Fieldly: We have very passionate fans of the brand. We have on boarded over 300 and more as we're speaking. We are seeing more social engagement. We do have some additional software we use to be able to track the engagement that's out there, not only on our sites, but other third party sites as well. And we're seeing increases in the overall engagement. So this program is really a great opportunity for us to really continue to attract our core fans, to really spread Celsius. People are very vocal. They're excited. It is a great product. It's an experiential product and this platform allows them to get additional benefits for being a fan of the brand. So we're really excited about that and it's all incremental.
Operator: Our next question comes from Anthony Vendetti with Maxim Group.
Anthony Vendetti: I was just wondering, John, if you could just go a little bit more into what the situation with the Nordic distribution partner. Just trying to understand if it was partly timing or other factors there and the same with China. That one seems like it's more timing.
John Fieldly: The Nordic partner, when you look at the overall revenues, I think you get a clear picture. When you look at the quarterly run rate on revenues in 2017, they had large revenue orders in Q2 and Q3 with some of the new flavors that they brought onboard and it's taking some time for those flavors to cycle through and get inventories down to more normalized levels. So that's one thing they are focused on, our partners are focused on improving their working capital. So they are bringing investments down to really a more manageable just-in-time system, which we've been working with them and that's something we've been working on for some time now, really bringing on those two additional co-packers. So we've been working on a variety of different synergies on trying to be able to provide them orders in a more timely manner so that it improves their working capital needs. We have received orders for the third quarter. We have produced orders for July. We have orders in August and September. Actually, we have an order in-house for October as well. So it is moving towards more normalized levels as they work through that inventory. Plus, they had a repackaging and a refresh that they were going through really cycling down some of their inventory levels. When you look at China, you are correct, it is truly a timing issue there in regards to the recognition of revenue because when we produce the product, just like in the Nordics and just like in China, we're selling full production runs to our master distributor. So a lot of those orders in China took place late in the quarter, and as a result of those resets really taking place later in the quarter that affected the sell-through. And as a result, we did not get reorders in the quarter, but we do have orders in-house for July and we should be getting another order momentarily for August production as well.
Anthony Vendetti: You have two co-packers that are back online, which should enable better just-in-time inventory; correct?
John Fieldly: Well, that's in the Nordics. We have two co-packers in the Nordics, one in Holland and one in Germany that we had, we brought online for some time, and we're really working with our partner to streamline a lot of that inventory and the flow of that inventory as well. And then they're bringing down their inventory levels for additional working capital.
Anthony Vendetti: That's what I meant. I flipped back to the Nordic. Okay, and then I don't know if you provided an update on 7-11. But if you could just talk about how that rollout is going?
John Fieldly: Absolutely. I mentioned on the call, 7-11 is a great opportunity for us. We are focused on 7-11. We are right around on really our core line, we're right around a 50% ACV at 7-11. We are coming through the national wholesaler network at McLane, but we've been able to maintain our position. We're seeing increases each and every month on the increase in really ACV as we go forward, as well as the volume per outlet. So we're really optimistic and very excited about that partnership. It continues to forget this relationship. We are attending a lot of the FOA franchise association meetings to gain additional distribution. It is a continual work in process because 7-11 is a franchise owned really retailer. So we have to go door by door in order to sell additional distribution. So we're doing a variety of different tactics to continue to grow within 7-11. We're in about 50% of our core line, 25% with our Celsius HEAT line, and a tremendous amount of opportunity as we continue to grow and increase our ACV. And that's just going to take time. It's going to take effort and we're focused on it. With these stores continuing to perform well and sales increasing a monthly, quarterly basis as we continue to build the brand base, these other retailers are going to - the other stores will come online. Very optimistic about that and they are a great partner for us.
Anthony Vendetti: Vending machines; I know that that's a relatively new opportunity for you. But can you talk about the traction there?
John Fieldly: The traction there has been very successful. We currently have two team members that are truly focused on this initiative. We are in -- I'll have updated numbers on the next call. In the third quarter, I can provide further detailed numbers on our update, how many hypermarkets, micro-markets we are in, as well as additional vending machines. But initially throughout the quarter, we feel confident we gained in excess of about 1,000 vending machines and micro-market locations. So those at work and healthy vending machines. And the opportunity is exponential out there. There is a great opportunity for us and the turns we're seeing at these at work locations and in these healthy vending machines is extremely positive.
Anthony Vendetti: There was -- it looks like a $1 million legal settlement with a former distributor. Can you just refresh our memory on what that was about and is that completely resolved now?
John Fieldly: We did have a legal dispute, territorial dispute with a distributor that we had ongoing in the LA Court System for some time. It was last year it was filed. We've gone through the process. With time, effort, we moved through settlement to move forward. We have great opportunities in our business to continue to grow and that settlement is behind us and we are focused on growing the business.
Operator: [Operator Instructions] Our next question comes from Richard Tilay [ph], a private investor. Please proceed with your question.
Unidentified Analyst: Good afternoon, gentlemen. My name is Richard Tilay [ph], I'm a stockholder for 11 years, having bought my first Celsius stock in June of 2007. Now, I buy my Celsius product at the Harris Teeter store in Southern Pines, North Carolina. So my comments can only be related to what products they carry. The first is the Celsius can that has a black top. My flavors I like are watermelon and grape. They also carry the HEAT product and finally, they carry other products with an aluminum top. Can you tell me why there's such a drastic difference in the taste between the black top Celsius and the aluminum top Celsius can? I'm anxious to hear what you have to say because there is a dramatic difference in taste.
John Fieldly: First off, I truly appreciate your long-term commitment as a shareholder to this company and I can assure you the management team and employers are working very hard and diligently each and every day. To answer your question at Harris Teeter, the black top cans in our core line are sparkling, are all of our sparkling flavors. It's a differentiation to our products. The aluminum tops [ph], cans on our core line is our non-carb, which is a Raspberry Acai and a Peach Mango Green Tea. So those are our two tea flavors in the core line. We also have, in Harris Teeter, our naturally sweetened lime, the naturally caffeinated lime, which is sweetened with stevia and erythritol. So there will be some flavor profile differences from our core line to our natural line that contain -- that naturally sweetened line that contains the stevia and erythritol. But I will assure you, our natural line, which has just entered Harris Teeter, is doing extremely well in the natural channel and Sprouts and Fresh Market. And we are seeing a lot of demand for that product as well.
Operator: Our next question comes from Diane Negi [ph], a private investor.
Unidentified Analyst: Yes, I'm a long-term investor as well and my first question is how do you see the tariffs affecting the bottom line for the coming quarters?
John Fieldly: I appreciate you joining the call and thank you for your long-term support. In regards to the tariffs in China, I touched on that briefly on the call. And one thing that sets us apart, which is very different than a lot of other companies that are importing into China. We are not importing into China. We are actually producing locally. So it's local production, locally sourced raw materials. We have a local team and we have an entity structure where we have a local company that's registered in Beijing. So we are not affected by the tariffs today because we are not importing products into China.
Unidentified Analyst: The other question I have is a practical one. I'm wondering you don't seek cheaper quarters. The quarters you are in right now are pretty expensive and I think that would help the bottom line if you were to seek more reasonable rent.
John Fieldly: Our goal has been to continue to grow this business as effectively and efficiently as we can as a management team, and I can assure you, each and every one of our employees are dedicated to that, driving topline revenue growth, improving gross profit, and ultimately improving the bottom line. We are very diligent on all of our expenditures where we gained additional quotes and we pushed vendors and suppliers to gain the best price for Celsius. As we continue to grow in scale, we will be able to gain additional efficiencies throughout our supply chain and throughout our marketing and SG&A expenses. And we continue to focus on that. ON a year to date basis, taking out one-time charges and the investments that were made in Asia, we are at a close to breakeven and reinvesting those dollars into marketing with considerable investments in North America, where we're seeing strong topline revenue growth. I hope that answers your question on that. We're very diligent on controlling and monitoring expenses.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session. At this time, I would like to turn the call back to management for closing comments.
John Fieldly: Thank you. Our underlying second quarter results demonstrates our products are gaining considerable momentum, s we are capitalizing on today's health and wellness trends. Our active healthy lifestyle position is a global position with mass appeal. We are building up on our core business and leveraging opportunities and deploying best practices. I'm very proud of our dedicated team and I thank our investors for their continued support. Thank you, everyone, for your interest in Celsius and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.